Operator: Ladies and gentlemen thank you for standing by. I am Tracy, your PGI call operator. Welcome, and thank you for joining QIAGEN's Q1 2021 Earnings Conference Call Webcast. [Operator Instructions] Please be advised that this call is being recorded at QIAGEN's request and will be made available on their Internet site. [Operator Instructions] At this time, I would like to introduce your host, John Gilardi, Vice President, Head of Corporate Communications and Investor Relations at QIAGEN. Please go ahead.
John Gilardi: Thank you, operator. And thank you to all of you for joining us today for our conference call.  Speakers today are, Thierry Bernard, the CEO of QIAGEN; and Roland Sackers, the Chief Financial Officer; also joining us is Phoebe Loh, our Senior Director of Investor Relations. Please note that this call is being webcast live and will be archived on the Investors section of our website at www.qiagen.com. A copy of the press release is also available in the same section. Before we begin, let me cover our safe harbor statement. The presentation as well as the discussions and responses to your questions on this call reflect management's views as of today, May 4, 2021. We will be making statements and providing responses to your questions that state our intentions, beliefs, expectations or predictions of the future. These constitute forward-looking statements for the purpose of the safe harbor provisions under the Private Securities Litigation Reform Act of 1995. These statements involve risks and uncertainties that could cause actual results to differ materially from those projected. QIAGEN disclaims any intention or obligation to revise any forward-looking statements. For more information, please visit the SEC website for these filings. We will also be referring to certain financial measures not prepared in accordance with U.S. GAAP. You can find a reconciliation of these figures to GAAP in the press release and the presentation for this call.  I would now like to turn over the call to Thierry.
Thierry Bernard: Thank you, John. And welcome all to our conference call today. As usual before we being, I would like to again wish you, and your families and loved ones good health and all the best during those times.  As you have seen yesterday, the first quarter of 2021 marked another strong quarter for us as we moved through various stages of the pandemic, with vaccination progressing in many countries, of course, some at a pace faster than we had expected. The U.S., for example, or Israel, or the UK, and slower in other areas, such as in Europe. Demand for our product groups using COVID testing overall remain at similar levels, to what we saw at the end of 2020. But we have seen this vary between regions. Beyond the pandemic, research labs have reopened and diagnostic testing in other areas of healthcare is coming back into play. QIAGEN teams continue to execute day after day and manage the demand on our product portfolios, while preparing to work through the headwinds that are going to be created by a reduction in COVID-19 testing demand, as vaccination rates increase. Indeed, QIAGEN is well positioned with our five pillars of growth in those exciting times of change in the molecular testing landscape. We are poised to make a significant impact with a series of new product launches in the coming years, especially supported by menu expansion in QIAquick, QIAstat and NeuMoDx. Now please let me go through our key messages for today. First, our teams have once again exceeded the outlook for the first quarter of 2021 in terms of sales growth, and adjusted EPS. This is now the sixth quarter in a row where our QIAGENs have exceeded our guidance. Net sales grew 48% at CER rates over the same quarter of 2020. This beat our outlook of at least 45% CER growth. Adjusted earnings per share was $0.60 CER and above our outlook for about $0.60 to $0.62. As we have said before, we put a very serious and tremendous amount of attention on ensuring that we execute on our commitments. The performance of our non-COVID product groups leads to our second key message. As you have heard QIAGEN say before, those results in Q1 2021 are once again proving that we are COVID relevant, but we are not COVID dependent.  Sales in the first quarter of 2021 for non-COVID product groups reflected an acceleration from the end of last year, and grew 16% CER over the first quarter of 2020. Our third key message relates to the ongoing demand for COVID-19 testing solution in the first quarter. And this remains at a high level on par with the fourth quarter of 2020. Sales for those product groups grew 186% CER to $203 million up from $69 million in the first quarter of 2020. But more importantly, this also compares to sales of $200 million in the fourth quarter of 2020. We confirm, however, as we said in our Deep Dive Day in December 2020 that we expect this to slow down progressively in Q2 and H2 2021. And as a final key message, we are reaffirming our full year outlook for 2021. For the full year, we continue to expect sales growth of about 18% to 20% CER over 2020. This is based on expectation for sales growth from COVID-19 product groups to subside as the year progresses, but anchored by continued improvements in demand for non-COVID product groups compared to trends in 2020. For adjusted EPS we continue to expect about $2.42 to $2.46 at CER once again. This reflects our plans to invest in our five pillars of growth and strengthen our competitive profile to drive sustainable growth once we move through the pandemic. And now I would like to hand over to Roland.
Roland Sackers: Thank you, Thierry. Hello, and thank you as well from me for joining us for this call. I would like to update you on some key financial results from the first quarter. As Thierry noted, our sales results for the first quarter was 48% at constant exchange rate, they were up 52% at extra weight to US$567.2 million due to positive currency movements against U.S. dollar, especially with euro. Moving down the income statement, the adjusted cost margin declined about one percentage point to 68.7% of sales. This was due to the higher share of instrument sales, which typically have a lower gross margin than our consumable kit. In addition, there was an overall increase in production costs compared to the first quarter of 2020 associated with the ramp up of capacity to support higher demand. The growth in sales outpaced the increased operating expenses for the first quarter of 2021. This led to the adjusted operating income margin, rising to record 34% of sales in Q1, up from 27%, in the year ago period. In addition to production scale up activities, investment into our five pillars of growth also involve R&D expenses. We are moving ahead to implement plans to expand test menu capabilities for the NeuMoDx integrated PCR clinical testing system, and the QIAstat solutions for syndromic testing. We are also building out test portfolio based on our QuantiFERON technology, which can be used in diagnostics to detect latent diseases. We continue to see a positive impact on our business activities and benefit from increased capacity scaling, and leverage efficiencies in sales and marketing expenses, which declined to 20% of sales in the first quarter of 2020 from 26% in the same period of 2020. We are using these advantages to develop our digital customer channels and support our global operational response to the pandemic. As we mentioned earlier, adjusted EPS reached $0.65 CER per share, and were at a significantly faster rates in sales. Adjusted tax rate of 19% of sales and slightly above our guide. Turning to cash flow trend, we saw a significant increase in free cash flow to about US$82 million in the first quarter of 2021, thanks to the robust sales growth that absorbed about US$46 million of investment into property, plant and equipment. The development of the operating cash flow also came with a reduction in days of sales outstanding, which declined to 54 days compared to 56 days in the fourth quarter of 2020, and 68 days in the first quarter of 2020. This was most felt in countries of the EMEA, and Asia-Pacific/Japan regions, as collections have steadily improved since early 2020. In terms of our balance sheet, our net debt increased US$1.1 billion at the end of first quarter and this compares to a US$1 billion at the end of the first quarter of 2020. This modest change reflects about US$498 million of net proceeds from the issuance of zero-coupon cash convertible notes last year, against payments of about US$296 million for the settlement of a convertible notes that the due in 2021, as well as about US$41 million paid out for the maturing of two tranches of our job and private debt instrument known as [indiscernible]. This was added in a leverage ratio of 1.3 times net debt to adjusted EBITDA at the end of the first quarter of 2021, compared to 1.6 at the end of the first quarter of 2020 and 1.5 at the end of 2020. I will like to now provide a more detailed view of our 2021 sales for the first quarter. In terms of sales by product groups, sales of sample technologies, one of our five pillars of growth, was 42% CER, to US$227 million. This was due in particular to strong demand for DNA extraction kits, accelerating since late 2020. We also continue to experience ongoing solid demand for automated and sample preparation kits used in COVID-19 testing. The trend from automated to manual RNA kits that we saw in the second half of 2020 has now stabilized. As a reminder, sample technology sales on an underlying basis, excluding pandemic sales, are led by DNA testing and are also moving weighted to our customers in the life science, so we are seeing an assumption of this trend so far in 2021. Tests and diagnostic solutions were US$150 million, and rose 52% CER. This involves our molecular testing solutions for use in clinical healthcare. QuantiFERON-TB sales reached US$57 million in the first quarter and were up 22% CER led by the strongest demand in the U.S. as testing resumes after the 2020 slowdown. This performance also marks a sharp improvement from the 20% CER decline in the first quarter of 2020 and only 3% CER growth in the first quarter last year.  Sale of QIAstat-Dx and NeuMoDx solutions remained at high levels and on track for the year. We are closely monitoring COVID testing demand trends in various regions. But these platforms have applications well beyond COVID testing. The top priority right now is to expand our test menus as we're building up manufacturing capacity to serve the growing installed base. Other portfolios in this product group include our precision medicine assays, companion diagnostic core development revenues and women's health portfolio including HPV. We see mixed sales in these areas as activities affected by the pandemic, are adjoining at varying speed.  The PCR nucleic acid amplification product group represents PCs solutions and components for use in a search and applied testing. These sales were up 84% CER in the first quarter and reached US$117 million. These results also reflect the ongoing high level of COVID-19 sales, including for OEM products used by other diagnostic companies. Another driver was ongoing sales expansion of our QIAcuity digital PCR platform that was launched in the second half of 2020. The last product group is Genomics NGS and includes our universal NGS products and bioinformatics solution. This sale returned to growth after challenges during 2020, rising 17% PCR US$50 million in the first quarter. In terms of bioinformatics, we saw good incremental growth in applications for clinical oncology. These results also include growing contributions from the newly launched QIAseq NGS portfolio for screening of positive COVID samples for viral variant. I would like to now discuss our results by non-COVID and COVID-19 product group. As we have been saying the results for this quarter emphasizes the strong performance of our non-COVID portfolio and give us confidence for growth once we move beyond the tailwinds of the pandemic. Non-COVID groups grew 16% CER this quarter over Q1 2020, as research activities and regular diagnostic testing showed further increases. In addition to return of high demand in sample technologies and QuantiFERON consumables, we saw strong performance from other core portfolios, including universal NGS kits, which grew 32% over Q1 2020 for non-COVID related application sales off precision medicine assets, which returned to pre-pandemic growth levers and the solid contribution of non-COVID applications of QIAcuity digital PCR. We have seen significant improvement in non-COVID product groups in the last two quarters, and see it as a signal of improving trends to expect during 2021.  Sales in our COVID-19 solutions remained healthy in the first quarter with levels similar to Q4 2020. We saw an ongoing solid demand for sample preparation technologies, PCR solutions and third-party reagents and as mentioned also, some incremental sales of next-generation sequencing products used for variant analysis. On the next slide, I would like to review our sales by geographic region. For the second quarter in a row, the America region delivered growth of about 40% CER. Double digit TR gains in sales in QuantiFERON TB boosted the performance for this region. Brazil and Mexico also delivered growth at high levels as sales in both countries far outpaced the rate in the region as a whole. The Europe, Middle East and Africa regions continued the strong trends from 2020 and led the performance for the first quarter of 2021. Within the region, Germany, France, Italy and the United Kingdom experienced robust growth as demand returned for non-COVID product groups and was complemented by ongoing sales for COVID testing solutions. Sales in Asia Pacific, Japan region were bolstered by more than 70% CER growth in China, due in particular to our life science customers. India, South Korea and Japan all experienced an uptick in sales as customer work in non-COVID areas increased over the year ago period when the pandemic began. Growth from these countries offset weaker trends in Australia. I would like to now hand back to Thierry.
Thierry Bernard: Thank you, Roland, and I'd like to invite you for a quick update now on the progress QIAGEN teams have made regarding our five pillars of growth. In this slide, for example, you can see a brief overview of our portfolio expansion goals for 2021 and our status after the first quarter. We are continuing to focus on our road map and on providing robust menus to support strong growth in all areas beyond COVID testing.  In sample technologies, for example, in which QIAGEN has a large portfolio of market-leading sample extraction solutions, we continue to leverage our experience and innovate to bring new solutions to the market. As an example, in the first quarter, we launched QIAcube Connect for molecular diagnostic and the new QIAprep&amp kit. I will give you more details on these new products in the next slide. As we continue to successfully roll out QIAcuity digital PCR platform, our teams are working to expand the field of research applications for those systems. For example, a new workflow for integrating digital PCR and exosome-based liquid biopsy for the detection of bladder cancer from urine samples is being released into clinical trials. And QIAstat diagnostic syndromic testing system now features a new connectivity solution that we call QIAsphere. This is a cloud-based platform allowing users to monitor tests and instruments remotely. We continue to be focused on menu expansion and capacity scale up to support the use of installed platform beyond COVID testing needs. For NeuMoDx, our integrated PCR testing platform for core labs, we are also on track for two FDA submissions plans for this year. In the first quarter of 2021, as you can see, our U.S. menu has grown with the receipt of the Emergency Use Authorization for a four plex test with simultaneous detection of flu A and B, RSV and SARS-CoV-2. In our QuantiFERON franchise, we are moving forward with planned launches with the recent release of the LymeDetect assay on DiaSorin LIAISON platform. This assay was developed as part of our ongoing partnership with DiaSorin to leverage our proven QuantiFERON technology on their large installed base of testing platforms. I will share once again more details on this opportunity in the next slide. Let's go back to the sample technologies. As you know, our sample technologies product group has continued to perform well throughout the pandemic. And since Q4 2020, we are seeing significant demand returning from sample preparation kits used in applications outside of COVID. Sales in our non-COVID kits grew over 22% in Q1 2021 versus Q1 2020 demonstrating once again the strength of our sample technologies business and proving that we are not depending here from the – on the pandemic. On this slide, I would like to highlight a few launches in this product group. As noted before, the QIAcube Connect instrument for automated sample processing has now been launched globally for diagnostic applications. This system is the latest addition to the QIAcube family of instruments and builds on the successful launch of the QIAcube Connect in research application. The new placements in clinical labs will add to over 9,800 systems installed from the QIAcube family worldwide. We are also expanding our proprietary QIAprep&amp portfolio with the newly launched artus SARS-CoV-2 prep&amp kit, which has been CE marked and is now submitted for Emergency Use Authorization in the U.S. The QIAprep&Amp technology, if you remember, was initially launched in October last year in a kit for viral epidemiology, and we have seen significant demand for this product to automate rapid processing of RNA viral samples on standard labs equipment. The new kit launched in April combines liquid-based sample prep with PCR assay technology to enable clinical labs to rapidly scale up COVID testing. I would also like to highlight an upcoming launch for the new generation of QIAGEN EZ1 sample processing in three months, which is extremely well-known worldwide for its ease of use. The EZ2 connect instruments will feature connectivity, much like the QIAcube and QIAstat instruments, using the cloud-based QIAsphere solution popular for remote monitoring. In the third quarter, platforms will be launched for research and pharmaceutical application as well as in forensic labs for human identification application, and clinical platform is planned for launch early 2022. And for this, I would like to remind you what we explained in our QIAGEN Deep Dive Day in December that every automated sample prep solution from QIAGEN has already an upgrade automation launched on the market, QIAcube, EZ1, EZ2 QIAcube Connect, and we are still working on an upgrade of our flagship instrument, QIAsymphony. Looking forward, in 2021, we expect continuous acceleration of our non-COVID sample technologies products quarter-over-quarter.  Here again, we are focused on executing on a solid road map for this portfolio to drive our post-pandemic business, while, of course, being also prepared for any future pandemics. Let's spend some time on QuantiFERON. As you have seen, we have recently announced the CE marking of our new Lyme disease test for use on DiaSorin LIAISON platform. This new test addresses an unmet need for early detection of this very debilitating disease. It has been designed to support earlier disease detection, which is critical for those suffering from Lyme disease, with the goal to prevent severe illness in those infected with this bacterial disease. DiaSorin once again is the perfect partner for this test and to take over the commercialization given their portfolio of more than 8,000 instruments installed worldwide. The combination of QuantiFERON technology for the detection of T cell response with DiaSorin's existing assays to detect B-cell response offer a new level of clinical detection and a very innovative new level of clinical detection. This is indeed an attractive market as Lyme disease cases are constantly on the rise, especially in the U.S. and Europe. This is driving an increase in testing volumes year after year. In Europe alone, for example, more than 230,000 people are estimated to contract Lyme disease every year. On a global basis, the annual market opportunity is about $400 million to $600 million for Lyme disease testing. And as a next step, as we already announced, we are now going to work on the U.S. submission, and we will obviously keep you informed. The second part of our agreement with DiaSorin is obviously the continuous automation of our QuantiFERON solution. As a reminder, we have developed options for customers to create fully automated workflows for the QuantiFERON-TB test using LIAISON system. This allows QIAGEN to reach new customers through new commercial channels, while offering, at the same time, DiaSorin with a differentiated test to embed in their broad menu. Beyond the existing successful cooperation on the LIAISON XL instruments, the large volume system, QIAGEN and DiaSorin have commercial actions now centered on the lower volume LIAISON XS platform. The partnership with DiaSorin is really, really gaining traction in the U.S., and we are looking for recovering strong trends in Europe as well once the pandemic subsidies. The latent TB market is returning to growth after the pandemic pressures in 2020. And as you have seen, with sales rising 22% at constant exchange rate in the first quarter of 2021. The real competitor is the tuberculin skin test given that only 25% of the more than 70 million global latent TB tests are converted to modern blood-based testing. So there are still significant greenfield conversion opportunities. Our automation strategy enables us to target a wide range of mid to high throughput laboratories in any market. Also, the launch of our QIAreach TB is coming out soon for this year, which is a version of our QuantiFERON-TB test for low resources, high burden countries. And this test will run on a small device that can be used in the field with battery power. So we are on track to achieve our 2021 sales goal for over $230 million for the QuantiFERON franchise. Our partnership with DiaSorin is bearing fruit and helping us to expand in both industrialized and emerging markets. Moving now to the appointment of a new Supervisory Board Member. I'd like to introduce you to our newest Supervisory Board Member and welcome Thomas Ebeling to QIAGEN. Thomas joined the Board in February and brings with him a wealth of experience in international management, particularly in health care, given his previous roles as CEO of the German media company, ProSieben, and Division CEO role at Novartis involving pharmaceuticals and consumer health. With the addition of Thomas, the Supervisory Board of QIAGEN now has eight members. I'd like now to hand back to Roland.
Roland Sackers: Thank you, Thierry. As noted earlier, we are reaffirming our current full year outlook for net sales to rise about 18% to 20% CER. For adjusted EPS, we expect $0.42 to $2.46 at constant exchange rate, and this is based on a weighted average of about 234 million shares outstanding for the year. For the second quarter, we anticipate sales growth of about 20% CER from $443.3 million in the same period of 2020 and adjusted EPS of about $0.62 to $0.64 CER from $0.55 in Q1 2020. As for currencies, based on rates as of April 30, 2021, we now expect a currency tailwind of about two to three percentage points on full year sales at actual rates. For adjusted EPS for 2021, we expect a currency tailwind of about $0.02 to $0.03 per share. For the second quarter, we expect a currency tailwind of about three to four percentage points on full sales at actual rates. For adjusted EPS for Q2, we expect a currency tailwind of about $0.01 per share. We are expecting continued improvements in non-COVID product groups during the year, especially in the second quarter of 2021 compared to the year ago period. We are also anticipating sales for COVID solutions to be in line with year ago levels in the second quarter of 2021. The outlook for full year 2021 is as well based on expectations for softer sales for COVID product groups in the second quarter – second half of the year. These expectations include plans for investments in R&D and clinical trials to strengthen the competitive profile of our five pillars of growth beyond the pandemic. With that, I would like to hand back to Thierry.
Thierry Bernard: Thank you, Roland. And now it's time to go to our Q&A session. But before this, let me provide you all with a very quick summary. First, we had another strong performance for the first quarter, executing once again on both sales growth and adjusted EPS, coming in above our outlook. Our teams all over the world continue to deliver on commitments to secure growth from our portfolio, in particular, our five pillars of growth. Second, strong sales trends in our non-COVID product groups with sales growth of 16% CER in the first quarter of 2021, demonstrates once again, the strength, the sustainability of our business as we prepare to move beyond the pandemic in the coming quarters. Third, we continue to invest to strengthen our five pillars of growth that are set to underpin our growth trends. This includes menu expansion plans for QIAstat diagnostic and NeuMoDx, fueling the commercialization of the QIAcuity digital PCR instrument and securing our leadership in sample technologies. And as the last point, we are reaffirming our outlook for sales and adjusted EPS growth in 2021, anchored by improving trends in non-COVID product groups as we also continue to serve customers as the pandemic evolves. In closing, we are off to a strong start in a dynamic year and well positioned to emerge in a more competitive position beyond the pandemic. With that, I'd like to hand back to John and the operator for the Q&A session. Thanks a lot for your attention.
Operator: Okay. [Operator Instructions] The first question comes from Patrick Donnelly of Citi. Please go ahead.
Patrick Donnelly: Great, guys. Thanks for taking the question. Thierry, maybe just on the guidance, can you just talk about your comfort level on the guide compared to three months ago when you gave it? I'm just wondering, was there a cushion back then and now the COVID trends are coming down a bit, that margin for error is a bit smaller? We are just looking around at pretty much every other company with testing exposure has pulled down guidance over the past few weeks. Obviously, we're seeing what's happening in the U.S. volumes as you touched on, just want to talk to your confidence level in the guidance today. As you discussed during the call, clearly, execution on numbers is a big focus for you guys, so just wanted to get color on this piece?
Thierry Bernard: Yes, thanks, Patrick for the question. And obviously, I mean, we are on the market and we follow the evolution of the market every day. I would insist on a couple of things – a couple of points. First of all, there is a wide diversity of situation on the COVID-19 testing front. It is true that demand has been softening in some geographies, the U.S., Israel, for example, but the demand is still extremely strong in some other geographies in Europe, in some countries in Europe, or obviously, the examples are of Brazil, Russia or India are showing us that there is still room for significant testing demands. What I mean by this is also the second point, is that regarding testing volumes, I mean, we are entering a phase probably of increased volatility, is that taking Qiagen by surprise? No, because we always said from 2020 that we were expecting numbers in 2021 to assume still a significant level of COVID demand in H1. And then plateauing with a lower demand in H2. And at the same time, quarter-by-quarter acceleration of our non-COVID solution. And this is exactly on what we are executing as we speak, Patrick. So yes, there is volatility, but we are coming from Q1 with a strong acceleration of the non-COVID portfolio, which is what we and where we focus our attentions. We believe that the COVID testing need will continue to be diversified, I mean, geographically. Qiagen has solution for all those needs. This is also a very strong message. We have not only testing solution for detection of the virus, but if you want to do surveillance program with NGS or wastewater, we have a solution. If you want to test for the efficiency of vaccine, we have a solution with our T-cell testing. So we have a solution covering the whole range of potential COVID beyond the current situation. So that's why we are confident in our forecast, obviously, as we say, volatility is increasing, but at the same time, we have solid numbers that are proven by our Q1 results. And now it's up to execution quarter-after-quarter until the end of the year.
Operator: Our next question comes from Daniel Wendorff from Commerzbank. Please go ahead.
Daniel Wendorff: And I have one and then a small follow-up on the financial side. And my first question would be on your installed instrument basis. Can you maybe comment on how the growing installed bases of instrument is already helping consumable sales, maybe also how it potentially has already influenced non-COVID test growth in Q1. And that would be my first question. And then a question on your strong operating cash flow development in Q1. And how should we think about capital allocation over the next quarters, maybe also going into 2022 on the basis of your – actually strongly rising cash flow? Thank you.
Thierry Bernard: So to your first point, and then I will let also Roland chime in on the cash flow results. Daniel, to your first question, we continue in Q1 as well to increase the size of our install base for very relevant instruments. We have increased the numbers of NeuMoDx on the field, increased the number of QIAstat on the field. We have increased the number of QIAcuity as well. So this is going as per plan. And, therefore, this is obviously giving us a good expectation because as you know, QIAcuity, QIAstat, NeuMoDx are not COVID dependent. Those are menu or application plays. And once we have those installed based on the field, the game now in Q2, in Q3, Q4 and beyond the pandemic is to make sure that the menu that we have available on QIAstat, the menu that we have available on NeuMoDx is going now to be consume by those installed system and the same for QIAcuity. So it's always difficult to compare quarter – first quarter of the year with the fourth quarter of the previous year, because there is always an acceleration of capital sales at the end of the year, this is no more. This is where hospitals are sometime using their last budget. But the good thing for us is that we have seen the continuous progression of the installation of NeuMoDx, QIAcuity, QIAstat just to speak about those systems. Does it answer your question, Daniel?
Daniel Wendorff: Yes, to a certain degree, yes, absolutely. Thank you.
Thierry Bernard: Roland, do you want to speak about cash flow?
Roland Sackers: Yes. On the second part of your question, Daniel, it's quite obvious that we had a very strong start in the year also in terms of operating and free cash flow more or less $134 million operating cash flow, $82 million in free cash flow significant up and we also believe that we will see strong trends for the remainder of the year compared to last year. That really puts us in a very comfortable position to still anticipate both on a one insight capital allocation in terms of value enhancing bolt-on acquisition, which clearly still is creating the market for value enhancing bolt-on deals. It's the same time, clearly, we have a good track record since 2012 for share buybacks and both is clearly on the table.
Operator: We will now take our next question from Scott Bardo from Berenberg.
Scott Bardo: Yes. Thanks very much for taking my questions. Good afternoon. So the first question, please, I think there's some evolving evidence now of pretty strong demand for low-plex testing also for COVID-19, whereas some of the syndromic and multiplex testing are somewhat disappointed in the competitive landscape. I wonder if this is a dynamic that you are also seeing and whether you after this first quarter, have any need to change your placement and financial goals both for QIAstat and NeuMoDx? So that's question number one please. And second quick follow-up, we see now another competitor into the market for latent tuberculosis testing. I know you've expected this for some time. They're claiming certain workflow advantages. I wonder if you expect to see any dent in your on QuantiFERON tuberculosis franchise as a result of this new entrant. Thanks.
Thierry Bernard: Very good. So thanks Scott for the two questions. First the demand for low-plex testing. I mean, what I would highlight Scott first and foremost is that we have a solution for any kind of flexing on COVID-19. I mean, if you want just to have a singleplex, we have it on NeuMoDx and on other solutions. If you want to have a low-plex, as you have seen, we just got our approval for the four-plex on NeuMoDx. We have it. If you want to have a larger plex, we have it on QIAstat. So basically, we cover the needs and we follow obviously the evolution of those needs. This is why we believe it was extremely important to go beyond the singleplex and have a short-plex. And we think at this moment that NeuMoDx is the good answer for that. What the next winter will bring is difficult to say. I believe there are still many labs that are very interesting in larger answers than just short answers. And the jury is still out there on the market for this. The good thing is Qiagen as a breadth of portfolio that covers all those needs. Second, on the latent TB, and your arrival of new competitors. Scott, without wanting to sound arrogant, I believe that latent TB is the perfect example with Qiagen of a company not being arrogant or complacent while being the number one in the world. We have prepared for the arrival of competition for the last three years with being the only company offering a full integrated automated workflow from front hand, remember the agreement that we have with automation companies such as Tecan or Hamilton and backend research with DiaSorin. And when you look at our partnership with DiaSorin, as we explain today, not only can we cover the high throughput or meet throughput needs, but we can cover also the low throughput needs with the DiaSorin is in excess. So I continue to welcome the arrival of specialized infectious disease competitors, because they will help us proving the efficiency of latent TB testing. They will help us probably showing that we need to convert from skin tests because again, make no mistakes, Scott. The real competition is not the newcomers is still the skin test, and this is clearly our main focus. I think our competitors going to put a dent in our market shares or are changing our view on what TB should be for Qiagen over the long run, not at all. I'm not saying that some customers are not going to choose those competitors. But I believe that we build enough value to entry to make our market share and our position still dominant. And once again, I'm much more obsessed in trying to convert the skin test market than by the arrival of new competitors. Does it answer your questions, Scott?
Scott Bardo: Does it, thanks, Thierry.
Operator: The next question comes from the Doug Schenkel of Cowen. Please go ahead.
Doug Schenkel: Hi. Good afternoon, everybody. My first question is on guidance and I guess it's a two parter. So that the first part is earlier this year, you provided guidance for QuantiFERON, QIAstat, and NeuMoDx. Do you have specific targets for each of those line items? I just want to confirm that the targets there are unchanged. And then I was hoping you could also comment on quarterly revenue pacing for the year you've guided Q2 revenue flat to down slightly sequentially. I'm just wondering if your expectation is for linear improvement over the balance of the year if we should assuming that we should be assuming a really back end of year meeting most of the balance of the revenues in Q4. And then separate from guidance, your net debt to EBITDA is below two times, I think coming out of the quarter and you continue to drop a lot of cash in part, because of all the high margin COVID-19 revenue, but also because of the core. I'm just wondering how you're thinking about capital deployment over the balance of the year? Thank you.
Thierry Bernard: Very good. And I think that Roland – I can try to answer your different question Doug. I reached out and also asked at a point Roland to chime in. First of all, on the target for QuantiFERON for QIAstat, and NeuMoDx. As we have said Doug, we believe clearly that I will target for QuantiFERON this year, especially when you look at such a strong quarter one at 22% growth is really in our hands. So we are confident in this one. For NeuMoDx and QIAstat which are two products, which are both extremely relevant for COVID at the moment. But as we said, they are – when you play, they are no dependent on COVID. We have also said, yes, there is an increase volatility on the market. But between the two platform, we also believe that altogether we can reach our target, might be that we are going to be a bit above in one of those, a bit below in users, but the progression of market share still is happening. The progression of install-based still is happening and we are here as well confident. Again, Doug, I really insist on that. We are also managing those two platforms, clearly post pandemic. Obviously, we have our solution for COVID, but this is not our main obsession at the moment. Your session is to make sure that we, first of all, deliver on NeuMoDx, the menu available in Europe to the U.S. on time. And we also want to deliver GI on QIAstat for the U.S. We want to deliver meningitis on QIAstat for Europe on time as per our plan. And this is currently what we are doing. Once again, execution is key. So we are confident, yes, for those two platforms as well. On the – basically framework of pace of quarter-after-quarter against while highlighting that increased volatility, we have a kind of a strong belief that if you consider for Q2, for example, our COVID expectation. They will be very much similar to what we achieve in Q2 of last year Q2 2020. And if you consider the non-COVID business for Q2 for example, we expect a strong confirmation of the recovery and a strong addition of revenues coming from the non-COVID. And again, these prove exactly, and this confirmed what we said last year. Now on the capital deployment, I'm going to let Roland also chime in here. I just would like to highlight that we are a publicly listed company. We are attentive to any potential opportunity on the market. At the same time, we also confirm what we said some months ago that we have a lot to execute on organically. If there are inorganic opportunities, especially both-on acquisition to reinforce our five pillars of growth, we will obviously not hesitate, but I'm sure that Roland also has interesting perspectives here.
Roland Sackers: Yes, as I said, again, of course, Daniel asked the question before. I do think we clearly keep your high flexibility. It's also quite obvious that we review carefully the performance of Qiagen’s share price that clearly also goes into our evaluation, because we clearly do believe that again there is strong performance right now seen at Qiagen and we want to see a reflection of the share price as well.
Operator: Our next question comes from Jon Peterson [ph] of JPMorgan.
Unidentified Analyst: Hi guys. This is Casey on for Tycho. I guess more broadly speaking on COVID product revenues, how much downside risk is there in the back half of the year now, given what has been described by several of your competitors, as you know, an imminent shift in PCR volumes toward those highly automated high throughput platforms, how do you see this dynamic playing out and how much would this affect the COVID revenue portion and sample technologies and maybe the OEM portion?
Thierry Bernard: I would just repeat what we have said many times. We have built our guidance for 2021, and that our budget with the assumption of progressively throughout the year Q2 and especially H2. There will be a softening and a roll-off of demand for COVID testing. But again, there is volatility. The market can change very, very quickly. We don't know what the variants are going to bring. We don't know what the flu season is going to bring related to COVID. So, it can go up as well very quickly. We are prepared because we have solutions for every need related to COVID. And specifically on your situation, on your question regarding high throughput system, I think you understood that we have launched QIAprep&amp and it's an extremely high throughput solution. It's an extremely quite rapid also solution for COVID and it's very well considered by many markets in the world if you see our sales of QIAprep&amp in Q1. They already increased compared to Q4 of last year.  So again, I mean, we have a very broad portfolio, potentially the broader spot for you for COVID solutions on the market, addressing every needs of the pandemic. But at the same time, we clearly built our numbers, assuming that this would basically slowdown throughout the year, that's our assumption, and we confirm it. Roland, would you like to add something to that?
Roland Sackers: No, I think, perfectly said.
Operator: The next question comes from Dan Brennan from UBS.
John Sourbeer: Hi, this is John Sourbeer on for Dan. Thanks for taking the question. China growth recovered pretty strong at 70% in the quarter. And can you talk a little bit on the geographic outlook for 2021 and what specifically you're seeing in China? And with regards to China, can you describe any changes you've seen in your business there since 2019? And then just on COVID can you provide a little more color on what is the outlook and durability for your COVID revenues beyond 2021? Thanks.
Thierry Bernard: Sure. I will address directly your last part of the question, which is COVID-driven solution beyond 2021. I think I would refer to what we said on December 8. We confirm this. We do not rely on significant numbers on our side to ensure the growth of QIAGEN beyond the pandemic. Beyond the pandemic QIAGEN is non-COVID dependent company, I'm sorry. And therefore, everything that would come, if there is a resurgence in some geographies because of volumes, because of service, we will be ready, which is far too early for me to give numbers here. We would have the solutions, we are ready to act, we are ready to answer customers’ needs. So that's the first part. On the question on the geographic situation in China. First of all, you probably know that because we have communicated on that we have changed our management in China. We are obviously taking advantage of the change of management to continue to strengthen our distribution network. China is a good example once again, of situation being able to move very quickly. We have more COVID-related sales expected in China, in Q1. Especially thanks to what we call our second brand, Shenzhen. But again, we are managing China completely post-COVID. The key success factors for us are, first of all, monitoring in a very granular way our commercial partners’ network. You know that most of the sales in China are still made for distributors. A very strict management of those distributors is a key success factor, first. Second, is to continue to find solutions to bring our different solution, especially in MDx, where you need registration to what we call NMPA, which is the equivalent of the FDA in China. We need to find solutions to bring those solutions faster because it takes a long time. It takes some time more than two or three years to be registered. We need to find solutions. We are working on that. It can be, for example, through OEM, with Chinese companies. We are working on that. That's the second key success factor for us.  And third is continue to invest in this market, which is already the second in vitro diagnostic market in the world. So, this is where we are. We believe China is a market that should bring us a double-digit growth. This is the expectation we have on this market. And this is what we are working on. Does it answer your question?
John Sourbeer: Yes, that’s very helpful. Thank you.
Operator: The next question comes from Falko Friedrichs from Deutsche Bank. 
Falko Friedrichs : Thank you. Good afternoon. So, my question is on the 16% growth in the non-COVID business, a pretty impressive number. How much of this was pent-up demand or catch-up demand from last year? And how of this can really be sustainable throughout the year in your view? And then a quick follow-up is on your COVID-19 antigen test. Do you still plan to go ahead with that launch? And if yes, when do you think that this can take place?
Thierry Bernard: Thanks for the question. Catch up versus recovered, it's extremely difficult to give you numbers on that questions. What is clear is that volumes, for example, TB testing, for oncology testing, just two examples, I would say patient needs for those testings are coming back quite to deliver of what they were in 2019. And we have seen that sequentially Q3 of last year, Q4 and confirm in Q1. So, yes, I believe this is sustainable. And those are example, which is QIAGEN, because we have been challenged on this last year, for example. When we post a growth of our DNA sample prep solution at more than 22% in Q1, this really shows what we have been saying last year. Even in sample prep, we are not COVID dependent. The vast majority of our sample prep market shares are coming from DNA testing, not RNA testing, and seeing it growing at 22%, Q1 is extremely encouraging. And we do not believe that it's just to catch up with last year is clearly a recovering of the market demand. So, I hope it answers your question. It's very difficult to give you percentage of what was catch up, what was – no, I think it's an overall recovery because basically people need to be tested for oncology, needs to be testing for latent TB. And we are doing, for example, last but not least, this recovery on QuantiFERON, while most of the borders are not open, and while most of universities or schools in many countries are not open. And that two growth drivers for QuantiFERON are obviously border testing and also community testing. Now to the antigen, you need to understand that we now have two antigen solutions. We have a solution that we are basically dedicating to Europe at the moment, which is a decision that we took in Q1, which is proving you also that QIAGEN remains a very agile company. Some markets in Europe, like Germany, not only Germany, but we're asking for significant antigen testing. And we found a solution with a partner to be able to bring that solution. It's mainly in Europe, the further you C-marketing and some emerging countries. We call it a moderate price, antigen testing. The product that you are referring to is what we call our QIAreach and QIAGEN is the partnership with Ellume. We have resubmitted this antigen solution, which is by the way, as you remember, combined with an anti-body solution to the FDA. Perfectly on time, as we said to the market. We are now in the phase where we are constantly exchanging at the FDA with the reviewer, and I cannot speak on behalf of the agency, but yes, we have expectation to have this product approved before the end of H1. And so yes, we have these products in our assumptions and in our numbers for H2. Does it answer your question?
Falko Friedrichs : Yes, it does. Thank you.
Operator: The next question comes from Brian Weinstein from William Blair.
Brian Weinstein: Hey guys good afternoon to you. And thanks for taking the question here. So, I appreciate the commentary on the year-over-year growth and how that's improving. But really when we look sequentially here the Q2 guide is flat to down sequentially in the quarter. I know this was somewhat asked in a prior question. But it would make three straight quarters at sort of at $365 million to $370 million range. Also, this quarter, we saw NeuMoDx down about $3 million sequentially on the larger installed base, QuantiFERON is actually down a little bit, I think, $1 million or so sequentially So, I'm just trying to understand how you guys are thinking about kind of the sequential movement here, because it would appear to us that Q2 would likely to have to have some conservatism in it, or is it really just a flattening out of the actual dollars here? I know it was someone asked before, but I wasn't quite clear on the answer. So, I wanted to kind of go back into the kind of sequentials and kind of what you guys are seeing there.
Thierry Bernard: Yes, please Roland, you go there and then I will. Yes, please.
Roland Sackers: Yes. Just let me be very straight. Hi Brian. Again, just very clear, we expect sequential growth quarter-over-quarter on the non-COVID side, more or less throughout the year, also for the second quarter or to the first quarter, non-COVID, again, we shouldn’t forget then. Second, it's quite obvious, I think, Thierry said it very clear before. We feel very confident about full year guide. The question is really again under quarterly allocation because there is no doubt volatility on the COVID part of the business. And who can tell us if something is happening in the third quarter of a month or in the first quarter – or the first month of a quarter. So, I think a certain flexibility is key to take. I don't think that it's necessarily a full year basis. Most important and to just to emphasize is, again, we did quite well better than we expected in the first quarter in all regards. And we shouldn't forget, again, eventually talking Q4 was clearly a very strong finish for the year. We all know that the fourth quarter of the year, is in our industry, a different quarter when it comes to instrumentation and others. So, I think a very straightforward year-to-year comparison as a first quarter is not totally fair, despite that fact we have seen a good growth rate. So, I do think we feel good about that.
Thierry Bernard : Thanks, Roland. Does it answer your question?
Brian Weinstein: Yes, it did. And I hear what you are saying on the full year and your confidence there and whatnot and that's comforting. I just want to follow-up on one other things, is just your broader thoughts on the multiplex space becoming more crowded Roche, DiaSorin and Hologic all made moves in the last few months here. And just your thoughts on what that space looks like with these bigger players now making moves to compete here?
Thierry Bernard : I think those moves, first of all, are proving two things. The first is that QIAGEN is an extremely disciplined acquirer. We acquired STAT-Diagnostica for $150 million. Roche spent $1.8 billion for GenMark. And Hologic, close to $1 billion for Mobidiag. And I clearly believe and we see it in the size of the installed base already and the worldwide presence that QIAstat is a superior product compared to those two solutions. So disciplined acquirer and basically proactive acquirer. The second key message from me is that it simply proves that the syndromic market is exactly what QIAGEN said, which is a very promising, still growing market. We said, when we acquired STAT-Diagnostica that we believe the market was already at $800 million, growing at significant double digit. We said 20% at that time. Most of the publication are now showing that it's a $1.3 billion to $1.4 billion market, probably moving to $2 billion market. And we still believe at QIAGEN. And it seems to be confirmed by the publication of our competitors, that it's still a double-digit growth market. So, there is still a lot of room to play. The key success factor of QIAGEN is execution on menu. We have a differentiated platform. There is no platform easier to use than QIAstat. There is no other platform able to deliver what we call semi quantitative results, not just a yes or no answer. The key success factor is executing on the menu. And as long as we will deliver the menu, we said in 2021, 2022 and beyond, there is no reason why we shouldn't be successful here. Does it answer your question?
Brian Weinstein: Absolutely. Thank you very much.
Operator: Our last question comes from Hugo Solvet of Exane BNP Paribas.
Hugo Solvet: Hi guys. Thanks for taking my questions. I have two. On QIAstat-Dx if I remember well, last year, you had a fair share of placements in reagent rental models. Just wondering if you are seeing any change here since the beginning of the year? Or do you still place products – I mean instruments with a certain degree of visibility on consumable sales And the second question, I think, Thierry, in your prepared remarks, you mentioned that the trend for manual to automated stabilized. Can you just give us an indication on where it has stabilized compared to what you were expecting in H2 2020? Thank you.
Thierry Bernard: So, to your first question, you go, thanks for the two questions. First of all, I don't know if you use placement just for the installed base because we are still really selling much more than placing QIAstat. And by the way, it's the same for NeuMoDx. And we said that last year. So, capital sales over placement is still the trend at the moment. But as we said before, we have still placed a healthy, or put on the market for, as I said, a healthy number of QIAstat system in Q1 and therefore, obviously, we continue to make sure that those QIAstat are not just COVID-19 driven. Once again, we push our team to two things and engage customers ASAP on assays such as GI, meningitis and others; and second is try to bring customers to – sign pre-renewal contract to make sure that they do not disappear, obviously once the pandemic subsidies. So that's number one. For automation versus manual, two things, I would say. We confirm what we said last year that progressively automation will prevail in the QIAGEN level of sales over manual. And we are now at a ratio which is roughly 65% to 45% between automated and manual, 65% automated, 45% – 35% to manual, I'm sorry, which is showing two things. First of all, that QIAGEN is extremely relevant in automation of sample tech as well. Second, that we still have very decent number of manual workflow because this workflow is proving to be quite useful for many countries, especially in the emerging world. Does it answer your question, Hugo? 
Hugo Solvet: Thanks very much.
Phoebe Loh: Yes, thank you.
Thierry Bernard: Okay. With that, Thierry and Roland, I'd like to end the call. And thank all of you for your participation. Again, if you have any questions or comments, please do not hesitate to reach out to Phoebe and me for further discussions. Thank you very much.
Operator: Ladies and gentlemen, this concludes the conference call. Thank you for joining and have a pleasant day.